Kenny Green: Ladies and gentlemen, thank you for standing by. I would like to welcome all of you to Camtek's Results Zoom Webinar. My name is Kenny Green, and I am part of the Investor Relations team at Camtek. All participants other than the presenters are currently muted. Following the formal presentation, I will provide some instructions for participating in the live question-and-answer session. I would like to remind everyone that this conference call is being recorded and the recording will be available on Camtek's website from tomorrow. You should have all received by now the company's press release. If not, please view it on the company's website. With me today on the call, we have Mr. Rafi Amit, Camtek's CEO; Mr. Moshe Eisenberg, Camtek's CFO; and Mr. Ramy Langer, Camtek's COO. Rafi will open by providing an overview of Camtek's results and discuss recent market trends. Moshe will then summarize the financial results of the quarter. Following that, Rafi, Moshe and Ramy will be available to take your questions. Before we begin, I would like to remind you that the statements made by management on this call contain forward-looking statements within the meaning of the Federal Securities laws. Those statements are subject to range of changes risks and uncertainties that can cause actual results to differ materially. For more information regarding the risk factors that may impact Camtek’s results I would encourage you to review our earnings release and our SEC filings and specifically the forward-looking statements and risk factors identified in the 2024 Annual Results, PR, and such other factors discussed in our Annual Report on Form 20-F as published on March 21, 2024. Camtek does not undertake the obligation to update these forward-looking statements in light of new information or future events. Today’s discussion of the financial results we will present it on non-GAAP financial basis unless otherwise stated. As a reminder our detailed reconciliation between GAAP and non-GAAP results currently found in today’s earnings release. And with that I would now like to hand the call over to Mr. Rafi Amit, Camtek's CEO. Rafi, please go ahead.
Rafi Amit: Okay, thanks, Kenny. Hello, everyone. Camtek ended the fourth quarter and whole year with record results. Q4 revenue were $117 million, an increase of 32% year-over-year. The operating income was $36.3 million, 42% improvement year-over-year. Regarding the whole year results, revenue were $429 million, an increase of 36% year-over-year and operating income came at $130 million, 56% better than last year. The distribution of revenue for the whole year was around 50% for HPC and 20% for other advanced packaging applications. The rest was divided between CIS, compound semi, front end and general to the applications. We are starting 2025 with strong business momentum and expect 2025 to be a year of growth well beyond the 5% WFE growth estimates. The main growth driver is expected to be high-performance computing or HPC in which we are a key provider. The demand in HPC segment remains healthy and overall we expect the contribution of HPC to our business to be at least 50% in the first half of 2025. Just this week we received orders totaling over $10 million for HPC-related product, which reinforce our assessment of continued growth in the demand for this segment. We identify a shift in the market regarding manufacturing and packaging of HPC modules, where these modules are gradually start to be manufactured not only by IDM and Foundaries, but also by OSATs. This change in trend is a positive opportunity for us as we have a strong position with OSATs in the different regions. From orders we have on hand, our pipeline, and from discussion with customers our revenue guidance for the first quarter of 2025 is between $118 million to $120 million close to a 25% increase over Q1 last year. We also estimate that the demand for our systems for HPC-related products will continue into 2025 and beyond. In our last call we discussed the two new models that we have introduced to the market, the Eagle G5 and the Hawk. The Eagle G5 is currently in operation at multiple customer’s production lines, delivering excellent performance that align with both our expectations and those of our customers. Meanwhile, the Hawk has successfully completed qualifications with several customers and we anticipate receiving more order for it in the near future. We plan to officially launch the Hawk in Semicon Korea Show next week. A few words about the Hawk and its distinction from the Eagle. The Hawk is a new cutting-edge platform engineered for high-end applications, such as detecting 100 nanometer defects, measuring several hundred of million micro-bump at pitch lower than 10 microns, all while performing high swoop. These advanced requirements are beyond the scope of the Eagle platform. Although the Eagle models, especially the Eagle G5, provide excellent performances in a variety of applications. The Hawk system has high capabilities but also a high price tag, so there is a room for both models. Going back to our opportunity in the HPC segment, a major part of our business support HPC-related hardware. The growing demand for HPC hardware has placed Camtek in a leading position and allowed us to grow significantly in 2024, much beyond the market growth rate. The use of AI capabilities in large organizations is causing rapid growth in demand for HPC, and we are seeing significant investment in server farms around the world in recent years and expect this trend to continue. Looking into the future, we expect to see AI capabilities penetrate Edge computing devices such as automotive, robotics, PC, and eventually mobile phone, which require the development of powerful dedicated hardware to be implemented in these Edge devices. When this happens, it will be a great opportunity for us. In summary, our primary growth engine for the upcoming years will be advanced packaging, particularly in high performance computing, HPC. We are strongly positioned in this sector and with the introduction of our two new advanced systems, we will reinforce our leadership position. And now, Moshe will review the financial results. Moshe?
Moshe Eisenberg: Thank you, Rafi. In my financial summary ahead, I will provide the results on a non-GAAP basis. The reconciliation between the GAAP results and the non-GAAP results appear in the tables at the end of the press release issued earlier today. Fourth quarter revenues came in ahead of our guidance, at the record $117.3 million, an increase of 32%, compared with the fourth quarter of 2023, an increase of 4% from last quarter. This is the fifth consecutive record quarter in revenues. For the year, we ended 2024 at $429 million versus $315 million last year, which represents 36% increase year-over-year. The geographic revenue split for the quarter was as follows: 92% Asia and 8% the rest of the world. Gross profit for the quarter was $59.3 million. The gross margin for the quarter was 50.6%, an improvement from the 49.2% reported in the fourth quarter of last year, and similar to the third quarter of this year. Operating expenses in the quarter were $23.1 million compared to $18.2 million in the fourth quarter of last year, and similar to the $22.9 million in the previous quarter. Operating profit in the quarter was $36.3 million compared to the $25.5 million reported in the fourth quarter of last year and $34.2 million in the third quarter. The increase is mostly due to the increase in revenue levels and accordingly, in the gross profit. Operating margin was 30.9% compared to 28.7% and 30.4%, respectively. Financial income for the quarter was $6.2 million, an increase from the $5.7 million reported last year and similar to the $6.4 million in the previous quarter. Net income for the fourth quarter of 2024 was $37.7 million or $0.77 per diluted share. This is compared to a net income of $28.2 million or $0.57 per share in the fourth quarter of last year. Total diluted number of shares as of the end of Q4 was $49.5 million for the year in a whole, we recorded net income of $139 million, a 45% improvement over last year. Turning to some high-level balance sheet and cash flow metrics. Cash and cash equivalents, including short and long-term deposits and marketable securities as of December 31, 2024 were $501.2 million. This compared with $488.7 million at the end of the third quarter. We generated $16.2 million in cash from operations in the quarter. And for the whole year, we generated $122 million. Inventory levels increased to $123.1 million from $116.3 million. The increase over previous quarter is to support the anticipated sales growth in the coming quarters. Accounts receivables increased to $99.6 million from $71 million in the previous quarter, mostly due to the timing of collections. We have already recorded strong collections since the beginning of 2025, and we expect accounts receivable level at the end of Q1 to be in line with revenue. DSO as of the end of Q4 was 77 days, down from 90 days a year ago. With respect to guidance, as Rafi said before, we expect revenue of between $118 million to $120 million in the first quarter and that we look forward to a year of growth in 2025. And with that, Rafi, Ramy and I will be open to take your questions. Kenny?
A - Kenny Green: Thank you, Moshe. [Operator Instructions]. So our first question is going to be from Charles Shi of Needham. Charles, you may go ahead and unmute yourself.
Charles Shi: Yes, thanks. Congrats on the good results and the solid guide. I think my first question is about the guidance on the HPC contribution in the first half 2015, I think you guys mentioned about 50% but from the commentary, it sounds like you're seeing HPC demand probably broadening more to OSAT where you have the historical strength. I recall like last year I think that you guys were providing a little bit more details into the HPC and as a part of that is HBM, and part of that is Chiplet. So assuming OSAT is probably taking up more of the Chiplet related demand from the leading foundry is the mix between HBM versus Chiplet kind of shifting mortgage Chiplet, at least through the first half of 2025, I know you guys don't give that details, but directionally, can you comment on that?
Ramy Langer: So, hi Charles, this is Ramy. So in general, yes, we continue, let me try and answer it -- I'll give you two views about the HPC market. So I think what differs us for probably some of the competition is that we have a strong position into all big manufacturers. And as a result, we are less and we are performing several inspection and metrology steps at each and continually winning these steps. So this makes us a little bit less sensitive to a specific customer. And as you mentioned, the OSATs are starting to open up and this is definitely -- this is reflected in our forecast for the first half. Regarding the HBM so yes, we do not give the exact numbers. But what I can tell you that we continue to see demand and we have significant orders on hand for the first half of 2025 that we plan to deliver.
Charles Shi: Any early view on the second half of this year at this point?
Ramy Langer: It's very typical, obviously. We have a lot of discussions, we are starting to see a backlog building up through the second half, we -- I would say, the discussions with our customers are positive. But still it's too early to give something more solid from a guidance point of view.
Charles Shi: Got it. Got it. So maybe my last question, what's the China revenue contribution last year, I recall you said is somewhere around 30% to 35%, is that number still the case based on the actual results? And any expectation for China revenue this year as the percentage going up or going down or going to be flattish versus 2024?
Moshe Eisenberg: So, hi Charles, this is Moshe speaking. With respect to the geographical split for the year, indeed China went down a bit from 2023. In 2023, we reported 47% from China. This year in 2024, we expect China to contribute around 30%. It's a bit early to say about 25%, but we see demand coming also from China. So we expect somewhat in the range of anywhere between 30% and 35% coming from China in 2025.
Rafi Amit: Thank you. I would like -- if you don't mind, I would like to go back to previous question and try to expand a little bit the view of HPC in general. As you know, the HPC includes three major components. We talk about the HBM, we talk about all the GPU, we talk about the interposers. There are more, but they are the major three components. Now if one of them suffer of any issue of capacity or missing capacity, definitely, it could affect all other. Because if you cannot put your component on the interposer, nobody will make any extra HBM or CPU, if there are no room to put them on the interposer. So you have to look always not just to the final demand of the end user, the server farm, but also in the capacity, in their production capacity. And TSMC made announcement, they said that they don't have enough capacity. They build extra and hopefully, until mid of this year, they will make catch-up. So you asked about the second half. I would say that this is one of the major issue. If TSMC can make the catch-up and expand its capacity and production capacity, definitely, it may open the other player to provide the components or all the module could be built. So this is something that probably you will see very soon.
Charles Shi: Thanks, Rafi. I appreciate the insights.
Kenny Green: Thanks, Charles. Our next question is going to be from Tom O'Malley of Barclays. Tom, you may go ahead and ask your question.
Kyle Bleustein: Hey guys, this is Kyle Bleustein on for Tom O'Malley. Thank you for taking our questions. So I wanted to start off asking about the move to hybrid bonding. You guys have talked about in the past about how your inspection steps actually goes up versus current generations. So I was kind of wondering like if you could refresh us like what your expectation is on the timing for hybrid bonding and what like the delta is and the number of steps you could address there versus in current solutions now?
Ramy Langer: Hi, this is Ramy. So definitely, hybrid bonding is starting to make the first steps in the market. I think in our segment we are starting to see initial production. We have already installed machines at several sites that are being used as we speak for several steps in the hybrid bonding. The Hawk is definitely going to play a major role in this segment. Although we also have machines from the Eagle family as well there. Definitely, we are seeing activities there but I think when we think about hybrid bonding and the contribution to production high volume production, it's still a couple of years away, I would say, starting 2027, 2028 we will start to see volume production there. What else I can mention is that definitely there are going to be some metrology steps where we will take part of it. So all in all, as I said in previous calls, we view the hybrid bonding as an additional opportunity in our market space.
Rafi Amit: And I would like -- I have one more comment on that. As far as we understand from customers who develop this process, it suffers a very low yield because it's very complicated and very high risk process. So as far as we understand, the major application for this go for the very high-end application. It means that the hybrid bonding is not going to replace all the connection or the current connection method that we have today. Probably it's focused on very, very high-end applications and definitely cannot replace all the current application. That's our, I would say, observation at this point.
Kyle Bleustein: Alright, thank you. That's very helpful. And then for my follow-up, I wanted to ask on the HBM market. So of like the three or the three big customers, I know you can't talk like by customer specifically, but if one of them ends up having a slowdown in spend or has trouble getting -- on leading production do you expect like other customers to be able to pick up any sort of GAAP from one of the big players or I'm kind of just trying to figure out like, I know you talked about the first half visibility being very strong for HBM, just what it could look like in the long term across those customers?
Ramy Langer: So this is a commodity product at the end of the day. So definitely, if there is a slowdown in one customer, the other customer will pick it up. I believe there are some that are doing better than others. But as we said, we have a very strong position in all three so from our point of view, we expect to continue and play a major role in this specific market. I want to reiterate, we will ship machines in the first quarter, and I think also, of course, beyond. Rafi made a very important statement just a few minutes ago that really this high-performance computing is spilt out of a few building blocks. It's the GPOs, it's the HBM, it's the interposer and other things. So basically, as we understand, the TSMC are going to double the capacity next year, this is going to free additional capacity to other players to enter this market, and there are more places that the OSAT so definitely, we see this market developing, growing at very high rate. The growth rate of the cohorts and cohorts like technology, the number of packages, the growth, the CAGR is in the range of 50% over the next few years. So definitely, this is a market that is going to draw a lot of HBMs to it, and we feel very comfortable with the long-term future of this market.
Kyle Bleustein: Thank you.
Kenny Green: Thanks Kyle. Our next question is going to be from Matt Prisco of Cantor. Matt, please go ahead.
Matthew Prisco: Yeah, thanks for taking my question. I think it would be great if we could talk about the product traction across Eagle G5 and Hawk, maybe an update on orders and early customer reception and what type of market opportunities do you view these opening for Camtek, is this kind of I am going to expand your current TAM [ph] or is this more to address future issues? Thank you.
Ramy Langer: So first of all, there are two aspects here. So first of all, there is one aspect of being more competitive. So the Eagle G5 or fifth generation that is a much faster, more accurate brings in more capabilities will make our position more competitive and we expect to take more and more market share. So this is on the G5. The Hawk will open new markets for us, markets that today are beyond the capabilities of the Eagle product line and there are quite a few. I'll give you an example. It's the high number of micro bumps on wafers or logic devices. You are talking about 500 million devices on a single wafer. That's an application that is starting to develop that is beyond the capability of the current product line. So definitely, the Hawk will increase our total available market and it's a couple of, I would say, at least $200 million and potentially more. It will free up some front-end applications and so forth. I think I won't be able to give you more details in this call. But definitely, it will increase our available market. It will take us to places that our current projects today just cannot perform. Although, we have an excellent product line for our existing market. About the orders, we made an announcement last November that we received orders for over $50 million. We also said in that announcement that we expect to get additional orders and this, this is the case, and we plan to ship these machines this year and/or the G5, we already received a comparatively large number of orders that came. We already started to ship them. Actually in the fourth quarter of last year, we shipped the initial machines that are already in production, and we are starting to ramp the G5 into production. The Hawk is also finished already qualification and so we are in a very good shape there as well.
Rafi Amit: Okay. I would like to add again one more comment because you asked if this new product is for the near future, maybe longer. I would say that the Hawk in general has two major capability. Number one is its capability for high end application. Probably we will see more and more by the end of the year or next year because while R&D running production and it's moved to production, it takes some time. But the other aspect of the Hawk is very, very high throughput, even in current application. So if customer -- the throughput is very important for him and is willing to pay the price tag, definitely, it may choose the Hawk. So the Hawk definitely can serve customer that the main issue is higher throughput. But when we designed the Hawk, it was designed mainly for high-end applications. So it can answer for both of them.
Matthew Prisco: Very helpful. Thank you. And then for my follow-up, as the industry transitions to technology such as HBM 4 and [indiscernible], how does that impact Camtek’s opportunity or maybe process control intensity in general? Thanks.
Ramy Langer: So in general, it's a positive, I would say, it's a positive trend but what you call process control, the intensity will probably grow as you're putting more and more dies in the same module. So you would like to make sure that none of the dies have any defect. So I -- we -- in our view and our discussions with customers, this will have a positive effect on the quality control.
Rafi Amit: Yes. But the main application is 100% inspection and metrology. Our customers use our machines to inspect and measure each wafer. Now when we go to metrology, in metrology they do maybe more sampling. But in inspection, most of them do 100%.
Kenny Green: Matt, that answers all your questions.
Matthew Prisco: That is perfect. Thank you guys.
Kenny Green: Okay. Thanks Matt. Our next question is coming from Brian Chin of Stifel. Brian, you may go ahead and ask.
Brian Chin: Hi there, good afternoon. Thanks for letting us ask a few questions. Maybe just for the stick on the HBM 4 topic for a moment here. How large of an increase are you expecting on the micro bumps per die or per wafer for HBM 4 versus 3E? And do you expect your system shipments to be stronger really next year versus this year and is this -- are there any applications there that are better suited for Hawk relative to Eagle?
Ramy Langer: So let's talk about the HBM. Those application range today for -- you take a wafer, it's over €100 million. And it kind of stays in this range at least for the foreseeable future. It's not going to go to €300 million. It is not in the near future. So from that point of view, definitely, I would say that the workout of the industry is the Eagle product line. And I expect that in most cases, it will continue. And I think as Rafi alluded to, there will be some customers that are very, very sensitive to the space and may prefer to take the Hawk in order to get a double throughput for the same space of the machine. So -- this is a potential. This is something that we will see over time. But from the capability of the Eagle to respond and definitely the G5, it is a very good machine that can probably meet all the requirements of the HBM. Now as we said in previous calls, definitely and today, we are doing in most cases 100% inspection and the metrology 3D metrology, and there are additional metrology steps that are done in different areas. So definitely, the intensity of the quality control is going to stay or improve in certain areas that don't do 100% inspection in metrology and as we go into the HBM 4 and beyond. Definitely, the opportunity for Camtek is going to grow. But you need to couple it with the larger number of CoWoS and CoWos like packages that are going to grow by a CAGR of about 50% in the foreseeable future. So the combination of the market expansion together with the complexity of the dies and the wafers and the need for higher intensity of quality control is definitely -- this is the ingredient for better business for Camtek.
Brian Chin: Okay, great, thank you. And relative to the CoWoS opportunity. I think there's a fair bit of transparency about maybe what the size of that could be in terms of expansion this year. Can you help us size maybe the planned capacity footprint for some of these OSATs who kind of work in conjunction with the lead customer there, a sense of sort of how much capacity could they be planning to build out this year, next year to kind of help to alleviate the overall industry constraint and also your position -- reinforce your positioning at OSATs?
Ramy Langer: It's very hard now to give numbers. What I can tell you from what we see -- and what we see is that we sell, I would say, a significant number of machines go to these OSATs. Now the point with the OSATs that you don't really know all the applications that they are doing. But definitely, we are seeing OSATs buying machines from us for these applications. So yes, the market is broadening. Now you need to take in account that are all kind of fabless companies that you know are just making the entire design by themselves. Some of the silicon they design by the Chiplets, they design by themselves and then they buy the HBMs and have the OSATs to do the full integration or the full manufacturing of the module for them. So that's something that is very hard today to track down the capacity, but I think it's going to be a significant capacity in the next couple of years.
Brian Chin: Great. Maybe just one last question to maybe frame the market. There's been some discussion or uncertainty whether the HBM TAM for inspection metrology will increase this year versus last year. If you're not comfortable maybe providing that update, overall, do you -- it sounds like you expect the overall TAM for AI packaging or HPC packaging inclusive of CoWoS, etcetera, to increase this year versus last year?
Ramy Langer: Definitely. We definitely expect it to increase and you can see the capacity. I mean TSMC are going to double the capacity, there are going to be a number of OSATs that are going to jump into this area, but actually already manufacturing some of them. So this market is going to grow. One of the building blocks creates HBM and the more complex application becoming they're going to become more and more complex, you're going to see more and more memory that is required. We've seen from history that whatever memory you provide for your products the requirement is higher. So this is a trend that we have seen before. I think it will continue and definitely, we adjusted the beginning of the AI era and see how fast it is catching up. And a lot of organizations are starting to adapt these capabilities. So I think whatever the numbers are, the numbers seem to be solid. And as you can hear here, that there is not enough capacity in the market to support the requirements of all the companies that are going to go into it. So our view that the market is going to grow, there is going to be requirements for more HBM, the available market or the market for these products is going to grow and we believe that we will grow with it in the foreseeable future.
Brian Chin: Thanks Ramy.
Kenny Green: Thanks Brian. Our next question will come from Vivek Arya from Bank of America. Please go ahead Vivek.
Michael Mani: Hi, this is Michael Mani on for Vivek Arya. Thanks so much for taking our questions. To start, could you give us a sense for between Hawk and Eagle G5 which one will be a bigger contributor to growth this year? And then maybe a little further out, as we think about the competitive landscape, especially as it pertains to what opportunities Hawk can present to you guys, it seems like these tools should help you gain traction in the 2D market where there's already a strong competitor who participates here. But based on your previous experience of product cycles and how your customers make allocation decisions, what sort of time line do you expect for any share gains in this market, does it -- could it happen more quickly just because of how rigorous the new technology requirements are for some of these upcoming inflections like HBM 4 or do you expect these share gains to unfold more gradually over time? Thank you.
Rafi Amit: Thanks. So you can see -- there is a limited information that I can provide here. But I think that from the order size that we receive from the Hawk and you understand that we are getting more orders, so you can understand that it's going to be a substantial number for the Hawk. And I can tell you that it's going for the G5 to be also a substantial number. However, the Hawk ASP is higher so it's here, I would say, the comparison is not one-one. But in general, I believe that we will see a comparatively high ramp into production and getting these two products. And the reason for that, that they provide a better cost of ownership to our customers, they understand it. That's on one side. On the other side, on the Hawk side, it open markets and applications that today we don't have and are needed by our customers, that will be the second reason of buying these products. And for the G5 definitely, the Eagle is a very, very popular regime. I would say, it's the workhorse of the industry in many of the metrology, but also in many of our -- there are many 2D applications. In fact, we sell more machines eventually the 2D than 3D. So we are very strong. Yes, there is competition in this market and an excellent competition, but we are doing pretty well and certain applications we dominate and we expect to have even a stronger position in the 2D market as a result of the introduction of the Hawk and the G5. So yes, in fact, it's going to be a pretty, I would say, steep ramp into production over the first year. And to many of our customers, and we have thousands of Eagle machines from previous generations, some of those customers will not want to change anything on their production lines, they are very satisfied with what they have. We'll still continue to buy the regular Eagle, which is a very good machine. And that's how this industry behaves. Certain customers are more conservative, are sensitive to making changes. Others are willing to make those changes faster. So this is something that we will see as we move along.
Michael Mani: Great, thank you. And just a question on the other part of your business, compound semi, CMOS Image Sensors. I think last quarter, you indicated that there were some green shoots unfolding there. Just did those kind of persist into this quarter, what are your kind of expectations for that market this year? And if you do have a constructive view, what's really driving the growth there just because as we look at all the various end markets that it's exposed to, right, end demand seems to be pretty weak right now. So just any more color there would be appreciated? Thank you.
Ramy Langer: So, I think when we look at the, I would say, the non-HPC market, so definitely, I would say the business is stable there. I think most of the applications are stable. There isn't now an application that is growing very fast. And the reason for that is the consumer goods in general are not growing. There isn't an application there that is growing very fast. We do see some improvement on the CMOS market. Apparently, there are new sensors so there is, I would say, some demand coming from the CMOS market, the CMOS Image Sensors market, if I want to compare it to last year. I think when you look at the Silicon Carbide market, it's stable. The reason, I would say, huge growth there, there's a lot of capacity out there that I think will take some time to digest it. And we'll continue to see some business, but I don't think there will be a major growth. I would say that the non-advanced packaging, which is about 30% of our business will grow next year very much in line of what the industry expectations are. But most, I would say, the growth is going to come from the high-performance computing and other advanced packaging. I would say, the more traditional advanced packaging application such as fan-out [ph] and others that continue to grow.
Kenny Green: Michael, if that answers all your questions.
Michael Mani: Yes, it does. Thanks so much.
Kenny Green: Thanks. Our next question will be from Craig Ellis. Craig or Stacy, please go ahead from B. Riley. Sorry.
Unidentified Analyst: Yes, thank you. This is Stacy asking for Craig. And thank you for taking the question. And I was wondering if you can discuss a little bit about the digestion risk and also the magnitude of it in HBM and/or CoWoS and if it's related to foundry or OSAT or kind of both? Thank you.
Ramy Langer: Well, let me Stacy, this is Ramy. Let me try and answer and maybe Rafi and Moshe will jump in. In general, when we look at the HPC market, we see a very solid business going into next year. We have, as we said in the prepared notes, we see solid 50% of our business is going to go into this market. The overall specifically regarding the HBM yes, we are going to shift to the HBM segment significant orders that we already have on hand for the first half of 2025, and we will deliver and install those machines. So all in all, we don't see a digestion on the contrary, understanding what TSMC is going to double the capacity with all the increased capacities in the different OSATs, and we are actually shipping machines for OSATs and we will ship, including in the first half of this year. So we are seeing the market expanding. The business is healthy. There is a lot of interest. There might be some for other people, at least we don't experience it. There could be some customer-related concerns. But when we look at the entire industry as we serve all the customers we feel very good about this market as we enter 2025. Rafi, you want to add something?
Rafi Amit: No. I think you covered it very well.
Unidentified Analyst: Yes. And if I can add a follow-up, can you also talk about the -- maybe the backlog levels through 4Q and 1Q to date and the composition of those by end usage and, if possible, some degree of visibility maybe throughout the year in 2025? Thank you.
Ramy Langer: Okay. So -- what we can comment on the backlog in general is that we have a very strong backlog for the first half of the year. The second half is starting to build up. It's very -- and for the first half, let me just complete that, we said that 50% will go to HPC. For the second half it is starting to build up, it is much too early to say to talk about the composition of the backlog or to give a feeling on the actual numbers in the second half of this year. And this is very typical to our business, as the lead times are three to six months. So still, we're starting to build up. I think we will be in a position to understand the third quarter in our next call, okay. But I think at this stage, I think we feel that next year -- this coming year, the 2025 will be a growth year. We feel very well about the business, but still the second half to really try and give more color on it, it's a little bit too early.
Unidentified Analyst: Got it, thank you.
Kenny Green: Thanks, Stacy. Our next question is going to be from Vedvati Shrotre from Evercore. Vedvati, you can go ahead and ask your questions.
Vedvati Shrotre: Thank you. Thanks for taking my question. The first one I have is how should we think about your revenues versus the CoWoS capacity that's being added. So if I go to this I will see CAPEX on advanced packaging, it's doubling from $3 billion to $6 billion. Does that mean your revenues from CoWoS doubled as well as we go into 2025, is that a fair interpretation?
Ramy Langer: Okay. So let me -- let's talk about how the business builds. Definitely, the capacity that was installed in 2024 is now serving the market. So part of the growth in 2025 is built on the capacity that was built -- that was already built in 2024. And this will go on. So the capacity that we are going to install in the first half, I assume will still be installed and serve the growth in the second half of 2025. What will be shipped in most of the second half will probably affect the tail-end of this year and really contribute in 2026. And this is how this industry works. It's true for the CoWoS capacity, it's true for the HBM, it's true for most of the building blocks. So we, I think, in my mind should look at the second half of this year, what will be shipped out, a lot of it will be served for the first half of 2026. And I think the additional capacity of what TSMC are adding in the OSATs, some of it will still end up in this year, some will again will go to 2026.
Vedvati Shrotre: Understood. And then for my follow-up, as you ramp Eagle G5 and Hawk products, how should we think about gross margins from here?
Ramy Langer: So, I think as we are ramping these products, they are definitely accretive from day one. And specifically about the Hawk, I think we discussed it in previous calls, we definitely expect the Hawk to have a positive growth impact on our gross margin in 2026.
Moshe Eisenberg: So maybe just to clarify Vedvati. Overall, the Hawk and the Gen 5 has a positive impact on the gross margin, and they are accretive to the gross margin. However, as we are ramping the production this year, most of the impact to the gross margin level, you will see it only in 2026. This year, we are kind of ramping the production, streamlining the processes, and next year you will see the benefit and the contribution to the gross margin.
Vedvati Shrotre: That’s helpful. Thank you.
Kenny Green: Thanks Vedvati. Our next question is going to be from Gus Richard of Northland. Gus, you may go ahead and ask.
Auguste Richard: Thanks for squeezing me in here. As you walk through the AI ecosystem, a couple of major players that are doing their own chips have moved to Chiplets this generation. The hyperscalers, the revenue was constrained by their capacity and their data centers. And when you look at it, it looks like the new process CoWoS is what's sort of limiting the output of chips and servers, etcetera. And so my question is, what's slowing the ramp, is it facilities, is it somebody else's equipment, is it OSATs coming up, can you kind of help us understand what's going on there?
Ramy Langer: So Gus for us it's very hard to know who is the limiting factor. But at least from our view things are starting to pick up. We see there's a lot of additional capacity. So I think they will catch up pretty quickly. We expect them to catch up in these areas. In the first half of this year, I believe they will catch up with most of the capacity, and we will start to see, hopefully, the ramp for these guys in the second half of 2025, as Rafi alluded to in his comments or early in 2026, but definitely all of these guys are going to add more and more. We need more and more capacity that will definitely increase the potential opportunity for us.
Rafi Amit: And I would like to add one more comment on that. You have to consider that also the CoWoS is like third generation, second generation, try to improve the technology. They realize that the size of the Chiplet is too big so they have to think about maybe some using more combination of organic and silicon. So there are also a lot of R&D involved in this product because they want to be more efficient and getting better yield and answer to the density and other capability. So it's not easy for us to understand how long it takes to make this process to be mature process with high yield and move to high volume. But definitely, we can see that the investment, we can see the new building and the construction. And it's amazing if you just go and walk in some places, you see the amount of building. Wow, it's a big wow to see this investment. So definitely, it will be converted to production and high volume. If it takes six months or three months or nine months, we really cannot estimate right now.
Auguste Richard: Okay. And then just looking beyond AI and HPC, there's some evidence that maybe in 2026 some of the mobile guys might move to Chiplets rather than move to 2-nanometer. I'm wondering if that's another driver of growth for you into 2026 or it's not something you have visibility into?
Ramy Langer: We don't have a visibility, but I think any move to Chiplets is very positive for us.
Auguste Richard: Got it. And then just the last one for me, if I was your most favored customer, needed a system as soon as possible, where would you slap me in at this point?
Ramy Langer: Well, Gus it's a difficult question because you are close to us. But so no, I would say it depends really on the configuration and the specific models. So if you go from a regular week, we will do it sometimes even in weeks. If you come to the G5, it will probably be two months if somebody really needs a very content machine. On the Hawk, it will take longer. And it really is the complexity of the machine, the configuration. There are a lot of aspects are coming to -- so -- but yes, we will always find a slot for one of the important customers that need a machine ASP will turn the world around to make it happen. But obviously, this is very small number of machines. When you go to the large orders there are three to six months in late time.
Auguste Richard: Got it. Perfect. Thank you so much. That was very helpful.
Kenny Green: Thanks, Gus. Our next question is from Shahar Cohen of Lucid Capital. Shahar, you may go ahead and ask your question.
Shahar Cohen: I want to ask about the HBM or the mini HBM opportunity in mobile. We have seen what is called LFW DRAM we have seen both Hynix and Samsung adopting this mini HBM and we heard maybe some of the high-end phones may include this kind of stuff in 2026, anticipating the AI phone, which will have some requirement of better bandwidth between the memory and the CPU. So, can you speak about this opportunity for you guys and how should -- is it more like end of 2025 or 2026 and just the significance of that opportunity?
Ramy Langer: So hi Shahar, I think in specific to the DRAM, it's still more under production. It will take some time until it will turn into, I would say, a real opportunity for us. From our point of view, it's not -- there is nothing here that we need, especially to develop for it. This is a kind of device, it will have the micro bumps on it. It's a really typical, I would say, advanced packaging. Yes, it's a challenging one, but it's definitely with the inter capabilities of our machines. But in general, I think the, if you ask me about mobile phones, I think this is more 2026 and beyond capabilities and still, we will see this kind of an application ramping up. I don't think it is -- at least in my mind, it's not a biggie.
Shahar Cohen: And if it will be 2026, it's going to be significant.
Ramy Langer: It depends on the number of cell phones they will adapt it. And so I think it is too early to name -- it's still early in the game. But look, in general, and I think we discussed it in our prepared notes. Today, the application is very, very centered around servers. And therefore, it's a lot of hardware in it, and you can see the size of the business, it is very significant. As AI will go into cars, we're going to robotics, and these are probably the next two things that we will see these technologies and then go to PCs that it's really a factor more and eventually go to cell phones. So the more applications for us it would create a very big opportunity. So long term, yes, all of these things will adopt these technologies one way or another. And we definitely believe and see that this is an area the HBM as part of the CoWoS, as part of a module, an AI model is going to be a very, very big business for us. Thank you.
Kenny Green: Thanks Shahar. That ends our question-and-answer session. Before I hand back to Rafi for his closing statement, I would like to let you all know that in the coming hours, we will upload the recording of this conference call to the Investor Relations section of Camtek’s website at camtek.com. I would like to thank everybody for joining this call, and we will see you next quarter, and I would now like to hand back to Rafi for your closing statement. Rafi, please go ahead.
Rafi Amit: Okay. I want to express my gratitude to all of you for your ongoing interest in our business. A special thanks goes to our employees and management team for their outstanding performances. To our investors, I appreciate your long-term support. I look forward to our next conversation in the upcoming quarter. Thank you and goodbye.